Operator: Good morning, ladies and gentlemen. My name is Melissa, and I am your conference facilitator today. I would like to welcome everyone to Cliffs Natural Resources 2014 Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. At this time, I would like to introduce Terry Paradie, Executive Vice President and Chief Financial Officer and Treasurer.
Terry Paradie: Thanks, Melissa. I’d like to welcome everyone to this morning’s call. As we start, let me remind you that certain comments made on today’s call will include predictive statements that are intended to be made as forward-looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995. Although the Company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause actual results to differ materially. Important factors that could cause results to differ materially are set forth in reports on Forms 10-K and 10-Q and news releases filed with the SEC, which are available on our website. Today’s conference call is also available and being broadcast at cliffsnaturalresources.com. At the conclusion of the call, it will be archived on the website and available for replay. We will also discuss our results excluding certain special items, which is a non-GAAP financial measure. A reconciliation for Regulation G purposes can be found in our earnings release, which was published after market yesterday. At this time, I would like to discuss Cliffs’ liquidity and our bank amendment. Despite the steep decline in iron ore prices and the payment of expenses related to the proxy contest, during Q3 we were still able to pay down $100 million in debt. At the end of the third quarter, Cliffs had long-term debt of $3 billion with zero drawn on the revolving credit facility and $244 million of cash and cash equivalents. During the second quarter of this year, we had $3.3 billion of long-term debt including $275 million drawn under revolver. In comparison to the third quarter of 2013, long-term debt was $3.3 billion including $380 million drawn under revolving credit facility. The next future maturity date of long-term debt will be in 2018. As of today, we have $250 million of cash on hand and no drawings on our revolver. Now, I will turn my focus on the new bank amendment. We did seek a new amendment as a result of our recorded non-cash impairment of long-lived assets attributable to Cliffs’ shareholders or $5.7 billion after tax for our seaborne iron ore and coal assets in the third quarter of 2014. We worked with our banking group to obtain amendment that eliminated the debt to capitalization covenant of 45% that was introduced in the revolving credit facility in June of 2014. We actually reduced that during the quarter. However, the non-cash impairment charge increased the debt to capitalization ratio over that threshold and that amendment. The new bank amendment terms continued to ensure we have flexibility on our covenant structure and enough liquidity to comfortably run our business. As of today, our liquidity is approximately $1.4 billion. We appreciate the ongoing support of our current lenders. With that, I’d like to turn the call over to our Chairman and CEO, Lourenco Goncalves. Lourenco?
Lourenco Goncalves: Thanks, Terry. And thanks to everyone for joining us this morning. Today, we are going to cover a lot of ground. Most of which will be forward-looking. I will discuss Cliffs’ new strategic direction, the progress we have made on the 90-day plan I’ve set out before I assumed to the position of Cliffs CEO, and key highlights of our third quarter performance. At the end, we will take your questions. This is my first investor conference call at Cliffs. But it’s not my first conference call with several of you. We appreciate the support of the vast majority of Cliffs’ shareholders which voted for real change in this company in late July. Several of these investors have made a lot of money with Lourenco Goncalves before. And we will make money together one more time. Some others will lose a lot of money for trying to continue predicting the past with complete disregard for a well-thought out business plan being implemented with discipline by a CEO with a track record of success. The past is over in this company. And the present is a lot of work to bring a profitable future for Cliffs. We will reward the longs [ph]. For most of the 167 years of Cliffs’ history, the company has primarily been an operator of iron ore mines on the Great Lakes. Today, Cliffs Great Lakes regional mines remain our biggest strength. Over the past decade, prior management teams moved away from this core, diversifying into different products and geographies in an attempt to replicate the big three global mining companies It was a mismatch of capital investments and where we make money. As evidenced by our recent impairment announcement, it is now quite clear that these attempts to expand and diversify were misguided and resulted in the destruction of several billions of dollars in shareholder value. Let’s consider the 90-day plan I developed for the company and presented to ISS in June. This plan has been a guide for my management team and the board. And I’m proud to tell you, we have market accomplished against every element. We have a sharp focus on improving the company overall profitability and EBITDA is the key indicator that we use to evaluate the company’s financial performance. Due to the impact of the impairment charges and other items, at this time, we’re using an adjusted EBITDA which gives us a better view of our operational and financial performance. When you look at the Cliffs portfolio from an EBITDA perspective, you’ll see that we have two assets that are positive EBITDA contributors. One, non-core asset that is EBITDA neutral. And three sources of negative EBITDA that contributes to our current challenges. Let me explain. For the third quarter 2014, Cliffs reported adjusted EBITDA of $233 million. Our U.S. Iron Ore and Asia-Pacific Iron Ore business segments generated nearly $300 million in adjusted EBITDA supported by deep cost-cutting efforts and enhanced productivity. Our core business, U.S. Iron Ore, demonstrated remarkable strength in the third quarter as it generated $249 million of adjusted EBITDA. This is more than any of our other business segments and exceeds the adjusted EBITDA for the company on a consolidated basis. In Asia-Pacific Iron Ore, we were able to report $46 million of adjusted EBITDA despite the much lower iron ore pricing in the quarter. That was accomplished, thanks to our cash protection cost in the low $50 per ton range in Q3. Even more important regarding our Asia-Pacific Iron Ore business, our total CapEx needed for the next six years is a total of only $50 million. And that is for the rest of the life of mine to continue to operate at this cash cost or less. Our cash cost is expectation for APIO in 2015 is $48 per ton. We are totally confident that our Koolyanobbing mine is as good as or better than the major global iron ore producers due to their massive capital needs now and in future years. Additionally, our rich product mix with more than 50% of lump ore commands a higher premium for Chinese buyers as China starts to address their serious problems with air pollution. Our lump mix will become 53% next year and is already much higher than the percentages of lump ore in the mix delivered by the three Australian majors. With all that, we are not in a hurry to sell the Koolyanobbing mine, even though we have no plans to continue in Australia beyond the life of mine. Now let’s talk about the North American Coal business. North American Coal reported $6 million of adjusted EBITDA in Q3 basically breaking even for the quarter. This is a big accomplishment. Our operational teaming poll [ph] has been cutting costs and operating wisely despite the depressed met coal pricing. For those of you that know me from my days at Metals USA, I will treat the coal assets like I did with Metals USA building products business. We’ll make sure that our coal business does not consume much CapEx nor put a drain on our overall profitability. We will maintain the business to meet our very important safety and environmental requirements as well as our permission to operate commitments and basic maintenance expenses. In summary, North American Coal is a zero EBITDA player until we find a buyer. As previously stated, we have three areas that have been a drain on our cash and profitability. Wabush Scully mine, corporate overhead and Bloom Lake mine. Let me be clear, we are in the process of fixing all of these three issues. At Wabush, we are implementing the permanent closure plan for the mine which has been idle since the first quarter of 2014, but was still carrying a lot of expenses when I arrived to the company. With that, by the end of the year, Wabush Scully will be completely erased from the portfolio. As far as corporate overhead, we are eliminating functions, remote offices and irrelevant activities which we don’t need to have and that almost all is associated to high cost and low or no returns. We have lowered the staffing levels across the entire company, closed the corporate service office Duluth, Minnesota and further our efforts to reduce overhead in office space equivalent. For the quarter, our recurring SG&A was down significantly to $39 million. And we just lowered our full year expectation to approximately $165 million. Next year, this amount will be below $150 million. The third is our Bloom Lake mine. Bloom Lake Phase I is unprofitable largely due to pricing, but mainly because with just Phase I in operation, we lack sufficient volume to run across the mine assets. For the third quarter, we had a negative adjusted EBITDA of $33 million at Bloom Lake. To drive profitability and reduce cash cost to the low $50 per ton range, Phase II must be developed. However, we have already made the decision that Cliffs will not develop Phase II alone. We would otherwise develop Phase II if we are able to attract three new equity of offtake partners who will share in the capital costs. That’s the business model of our U.S. Iron Ore business. And our model works. We are targeting three equity partners that can appreciate Bloom Lake’s most positive attribute, a high quality 66% iron ore content, low silica concentrate which is perfect for sophisticated blast furnace operators and also for the production of high performance DR pellets. Bloom Lake’s ore is in a different class well above the typical iron ore shipped by the Australian majors to China. Let me be clear, one more time. Bloom Lake Phase II will not be developed to be a me too supplier to compete in the international ore market of iron ore. Bloom Lake has some of the best quality iron ores in the world for an operating mine. And given the relative ease by which we are able to separate silica and other minerals from the ore, Bloom Lake, iron ore has the potential to be the ore of choice for the production of DR pellets. The biggest challenge with Bloom Lake is that without injecting the Capital needed to the bring out the project infrastructure to execute Phase II, the mine will never be cost competitive. Conversely, with Phase II volume, Bloom Lake cash cost improved dramatically and the real penalties go away. In order to develop Phase II, the Canadian parent company that holds the Bloom Lake mine partnership must secure at least a 10% equity participation from each one of the three new partners that will take for their own use the high quality iron core. We believe that total CapEx required to accomplish this is approximately $1.2 billion with about $450 million of debt year [ph] market to complete construction and $750 million to develop the tailings pond which is an expenditure that’s spread over on extended number of years. Each of the three new equity participants with whom we are in active discussions are top tier producers of high quality sill. With their individual 10% equity stakes, each one of these equity participants would underwrite long-term offtake arrangements for roughly 25% of the production, each one for their own use. Together with Wuhan Iron Ore & Steel Company, the four minority equity holders would absorb the entire production of the Bloom Lake mine. With that, Bloom Lake would actually displace existing or new capacity on the seaborne market and dedicate its product to the type of customers who value its premium qualities for their steel making processes. This is the business model we have in place for U.S. Iron Ore and that has been working well for all our partners in the U.S. market for a very long time. We have a goal of securing these commitments before the end of 2014. If developed, Bloom Lake Phase II would produce an estimated 13.5 million tons of high quality iron ore with a 66% iron content at a cash production cost in the low $50 per ton range. This would be truly outstanding. And with this cost profile and equity fusion, we would surely want to continue to want and operate that. However, if we’re not able to achieve this option, closure or other permanent option will be immediately considered as running only Phase I is not a feasible possibility over the long-term. Simply put, we will not continue producing at Bloom Lake and selling at a loss in 2015 and beyond. I know that Cliffs has gravely disappointed its long-term shareholders in recent years. That’s why I am here. I assure you that we’re taking all the necessary actions to get Cliffs back on track. Despite our sense of urgency, this is not something that we can achieve overnight. It’s going to take more than one or two quarters of very hard work to bring everything together. Our strategic focus it to fortify the foundation of our U.S. Iron Ore business as well as to streamline our portfolio of assets. That said, our non-core assets do have real value and perhaps greater value in another party’s hands. Despite the challenges presented by the current commodity cycle, we will not consider a price [ph] sale of our assets. That is we will only sell assets at the right price if and when we find buyers willing to pay what we believe the assets are truly worth. Except for our self-imposed sense of urgency, we are not working against any specific timeline. We don’t need to sell assets and we have more than enough liquidity to run our business and pay down debt. There’s no time bomb ticking within Cliffs. Some of you may recall that in my first day with Cliffs I revoked the warn notice in place for our Pinnacle Metallurgical Coal Mine in West Virginia. We did that because it makes sense to operate this premiere low vol met coal mine. Since the decision was made to continue operations at Pinnacle, over 300,000 tons or additional sales have been committed to our tier one customers for 2014 alone. Such orders would not be given to us if we had kept the mine on its best to be idled [ph]. And we would have no orders for 2015. Also our lower ore ego in Powellton Mines, both located in Logan County, West Virginia, produce high quality A and B+ high volatile metallurgical coal. While our 2014 mine also located in Logan County produced thermal coal for tier one customers. Our Oak Grove Mine located in Alabama produces what is classified as a high quality, low volatile, metallurgical coal. Due to the high CSR, coke strength after reaction, and low sulfur characteristics of this coal, it makes a superior and high strength coke product which works especially well in larger blast furnace applications. Despite the low coal prices we have been facing, our coal business during Q3 was able to generate $6 million of EBITDA and that was due to the low cash production cost of $68 per ton achieved in the quarter. This strong operational performance continues to significantly drive down cash production costs. And the cost reductions we have made are sustainable going forward. As I have said before, this is a good business. But it is non-core. And at the right price, we will sell our coal assets. Now I will address the perceived threats to our U.S. Iron Ore business. Cliffs is a leading producer and supplier or iron ore pellets in the U.S. domestic market particularly in the Great Lakes region where we have transportation advantages and stable days of customers committed to long-term supply contracts. These contracts are built on formula pricing which helps to mitigate the volatility of seaborne pricing and works as a natural hedge against downward pricing pressure in global markets. Black [ph] spot pricing is just one factor in the revenue we generate from our customers. To illustrate that, this quarter benchmark iron ore pricing average $90 per ton. After sea trade to China and quality discounts, the major iron ore producers in Australia probably realized revenues of $70 to $75 per ton. And that may even be generous. As you saw in our release yesterday, our U.S. iron ore business was able to get above $100 per ton. That’s a very good price realization under the current market circus census [ph] and something I feel that many people do not appreciate about this business considering it is more than half of our iron ore sales. As we move forward and some of this contract near exploration most notably in late 2016, we will continue to structure them in ways that remove volatility. Cliffs and our customers are co-dependent. We know that and they know that. I also want to highlight here that not only do we have natural geographic and pricing structure advantages in our core U.S. Iron Ore markets, but we also sell a value-added product. Our U.S. Iron Ore pellets are often incorrectly compared with seaborne iron ore fines. Fines require additional processing at the filtering plants up these tow mills where they are processed into filtered at the cost not very different from our cost to product pellets. Our pellets are shipped primarily to Great Lakes blast furnaces as opposed to the iron ore fines that the Australian majors ship to Chinese port. Cliffs’ steel customers understand and appreciate the value in use attributes of our pellets. In addition to the cost to produce the sinter, sintering plants also create significant air pollution which is visible to the naked eye in China. Neither the cost to produce sinter nor the pollution generation is taken into consideration by the casual observer when comparing Cliffs iron ore pellets and black pellets delivered to the glass furnace of our U.S. customers to Australia fines delivered portside in China. While around this topic, there are three other misconceptions I’d like to address head on. The first misconception is that Cliffs is a high cost producer of iron ore. This is not the case. Cliffs is a high cost producer at Bloom Lake only which makes up less than 20% of our overall sales volume. All other operations are as good as or better than anyone else in terms of cost. During the third quarter, U.S. Iron Ore cash production cost was $59 per ton and that includes the cost of the pelletizing process. We have undertaken extensive internal benchmarking exercise within our U.S. Iron Ore business segment. The main focus is on labor productivity as well as maintenance and reliability engineering. Additionally, long range mine plans have been reviewed and altered. Going forward, we believe that we will be able to further reduce our already very good U.S. Iron Ore cash cost number. The second misconception is that Cliffs is a proxy for highly volatile iron ore pricing. This is simply not true. In fact, there is no major iron ore producer in the world whose business model is five less to seaborne iron than Cliffs. More than half of Cliffs iron ore production is sold through stable long-term contracts to steel manufacturing base at the heart of the U.S. market. Also, some of these contracts have downside protection built in. And the current low IO decks [ph] numbers are already below the minimum threshold for these contracts. Cliffs should therefore instead be seen as a proxy for the U.S. economy which is more resilient in growing consistently. In sum, correlating our enterprise value directly to seaborne pricing is not accurate. The third and related misconception is that Cliffs is a poor play seaborne producer. Nothing could be further from the truth. Our U.S. Iron Ore business is not seaborne and does not compete with seaborne. But our U.S. Iron Ore business is cost comparative, has low CapEx requirements, healthy cash flows, strong margins, contracts with downside protection and generates more than half of our total revenues. This strong franchise in U.S. Iron Ore supports the company even in the most difficult parts of the commodity cycle. These misconceptions are not only frustrating but also harmful. We are neither a high cost producer, a proxy for highly volatile iron ore pricing, nor a pure [ph] play seaborne producer. On the contrary, we are a fundamental play on the U.S. industrial economy. One other item to address in the U.S. Iron Ore business is the threat of new supply entrants in the Great Lakes. We, quite frankly, believe this concern is overboard. In the event that these projects come into production, we believe that they would still have a hard time displacing Cliffs. Cliffs has long term contracts with our customers in a deep knowledge of the blast furnaces. We provide these blast furnaces with homogeneous pellets, tailor-made for each one of them. Changing the raw material input is not an easy task and our customers are aware of that as well. As I said before, we are co-dependent. Additionally, these projects may have made sense in the $140 plus per ton iron ore price environment that we saw a few years ago, but in the current price environment, I don’t see how they make sense when these steel makers have favorable existing contracts with a proven supplier like Cliffs. Building on the strength of our U.S. Iron Ore business, there is no better example of the tremendous opportunities that lie ahead of us in the U.S. than the potential we have to supply elect point of [ph] steel makers. Clearly, the integrated blast furnace market is not going away and it will continue to be the anchor of our U.S. Iron Ore business. What’s exciting is the chance to participate in a market we have yet to tap. We are well positioned for it and ready to do so. So while we have many strengths and many opportunities in our U.S. Iron Ore business, the fact is we have other assets that we must manage as well. As I stated earlier, our Asia Pacific Iron Ore business is a profitable business segment. It has strong cash flows and continues to generate a healthy EBITDA despite the depressant pricing environment. For the third quarter, our cash production cost was $52 per ton. The depreciation of the Australian dollar against the U.S. dollar in recent months which effectively lowers production and operating costs and results in higher margins for all Australian producers, including Cliffs’ APIO and also including the big three iron ore miners, has helped further alleviate the pressures resulting from the depressant pricing environment. Moreover, our Koolyanobbing mine produced a very competitive iron ore product with a 50%-50% mix of high quality, 61% iron content lumps and 59.5% content fines. Also very important and not always understood, while the largest miners in Australia will continue to spend billions and billions of dollars as CapEx during the next several years, we can operate our Koolyanobbing mine for another six years with a very low total CapEx of approximately only $50 million over these six years remaining in the life of mine, maintaining the integrity of the operation and meeting all our environmental obligations. We are fully aware of the price war currently going on amongst the three biggest Australian miners which is based on the well-advertised low cash cost of two of them. However, not a lot of times is spent discussing the several billions of dollars that these companies need in CapEx during the next several years. As far as Cliffs’ APIO business is concerned, we confirm that its non-core and we would like to sell it. However, if we don’t find a strategic buyer who will pay fully and fairly for the value that is there, we will continue to operate through the end of the life of mine Due to our competitive cash costs, our very low CapEx needs and no commitment to stay long term in Australia or no commitment to sell iron ore in China, we will be able to succeed or the next six years even if the low price environment persists or even if it becomes worse. By the way, I have doubts if the big Australian miners will be able to sustain their huge CapEx requirements out of the cost plus business model or if in a few more quarters their current behavior towards pricing will not change. I have seen change in this business after being in this business for 32 years. However, this is none of my business. Cliffs’ Koolyanobbing mine have sustained power for the next six years. In the meantime, we may sell the asset. If not, we are in good shape. We have surely covered a lot on this call already and very much look forward to answering your questions. I would like to reiterate that we are prepared to drive the company forward on a new strategic task that restores and delivers value for our long term shareholders. With that, I will turn it over to the operator to direct the Q&A part of the call.
Operator: Thank you. (Operator instructions) Your first question is from the line of Jorge Beristain from Deutsche Bank. Your line is open.
Jorge Beristain – Deutsche Bank: Hey, Lourenco, Jorge from Deutsche Bank. I thought that was a really great summary. I guess the largest concern and overhang though related to Bloom Lake is if an exit at all is possible that the number one concern seems to be there are the liabilities at that subsidiary recourse to the parent company. So I’m wondering, in the event that you are not able to get the steel mill partners together by the fourth quarter, could you give us some idea if there’s some downside protection to the strong U.S. Iron Ore cash flows from the legal structure the way that Canada set up these liabilities and the take-or-pay contracts would ultimately not be recourse to the parent?
Lourenco Goncalves: Good morning, Jorge. Thank you very much for your comments. And the answer is, yes, there is no risk of contamination to the parent company in the event that we need to do something specific about Canada. Everything will be within the parent company that holds the Bloom Lake assets.
Jorge Beristain – Deutsche Bank: Great. And my second question is, when you contemplate bringing in the steel mill partners, could we read into the tea leaves that U.S. Steel’s recent announcements to pare back their own CapEx commitments to fund internal iron ore projects is perhaps clearing the way for them to be a participant in this project? And could you give us an idea as to what of the pending $450 million of growth CapEx that would be required in Bloom Lake, what would be your or Cliffs’ specific share would be 25%?
Lourenco Goncalves: Well, we have a partner there that owns 17%. That’s the public information. We attract another three partners, each one with 10%. That makes 47%. So Cliffs would be a 53% shareholder and 53% partly responsible for the CapEx to deploy to build Phase II in case all three come to play.
Jorge Beristain – Deutsche Bank: And is it make or break that the three is the magic number or could this be done with two as basically you were –
Lourenco Goncalves: Jorge, it could be done with one. But then one needs to buy 30%.
Jorge Beristain – Deutsche Bank: Okay. And in terms of the –
Lourenco Goncalves: What if two come and one doesn’t come? Then all three are all lucky [ph] because I’m not going to go with Phase II.
Jorge Beristain – Deutsche Bank: Okay.
Lourenco Goncalves: I don’t have a blast furnace. And I’m not planning to produce DR pellets. I don’t need DR pellets, I don’t need blast furnace. Cliffs needs profits and their shareholders need to be rewarded.
Jorge Beristain – Deutsche Bank: Okay. And as part of the off-take agreements, so the off-takes would each be for each 10% equity infusion from a partner, potentially 25% off-takes, could that also contribute to some more upfront cash that you could see getting from these partners if they come in above and beyond their 10% equity stake?
Lourenco Goncalves: Yes, look, this is just a proposal that would not only give these steel makers that are big, highly sophisticated but do not own any iron ore assets on their own to want some real high quality iron ore that they can use and mix with the commercial quality fines that Australia sells in Asia and somewhere else. So that’s their ability to own some iron ore that would position them well. And the important thing is that we are not planning to build Phase II to go compete in the seaborne iron ore market. That’s out of the question. If this mine will be built, if Phase II will be built and then we will be completely in great shape in terms of our cash cost, rail penalties, everything, it will be to displace new capacity in the iron ore seaborne market. If that’s not the idea behind, forget it. Bloom Lake Phase II is not going to happen. And Bloom Lake Phase I alone will not fly. So I’m giving until the end of the year to sign documents and have binding agreements. It’s not like we’re going to make a decision on December 31st. The decision we make before that. By December 31st, we are going to be announcing the construction of Phase II or going to Phase 0, let’s call like that. Phase I doesn’t exist.
Jorge Beristain – Deutsche Bank: Perfect. Thanks very much.
Lourenco Goncalves: You’re very welcome.
Operator: – question is from the line of Sal Tharani from Goldman Sachs. Your line is open.
Sal Tharani – Goldman Sachs & Co.: Thank you. Good morning.
Lourenco Goncalves: Good morning, Sal.
Sal Tharani – Goldman Sachs & Co.: Lourenco, there was a comment you made which I probably missed [ph] that your U.S. contracts have some downside protection if iron ore goes further below. Is that correct, I heard?
Lourenco Goncalves: Yes, some of our contracts, not all of them. But some of them we are already below the threshold. So it’s like iron ore international price are $100, $90, $80, $70 or $60 is basically the same thing. It doesn’t change.
Sal Tharani – Goldman Sachs & Co.: Okay. And also on Bloom Lake, alternatives, which is Phase 0, do you have any idea what kind of cost will be involved? And also, would you be able to take all the liabilities of that which are on that asset, including railway contract and combine that to make a decision whatever you want to do, like bankruptcy or whatever you think can be done like U.S. Steel has done for their Canadian assets?
Lourenco Goncalves: Look, I do have more than an idea. I know exactly the number but I’m not going to tell you and I’m not going to tell publicly in this call. And Phase 0, we are not there yet. Phase II, we’re not there yet. I’m going to take my shoes off when I get to deliver. I’m not there yet. I’m working to get there.
Sal Tharani – Goldman Sachs & Co.: Okay. No, that’s understandable. Just one quick question. The Wuhan contract also has some off-take agreement, how would that play if you do have to shut down Phase I?
Lourenco Goncalves: Wuhan has an off-take contract of 3.7 million tons that is related only to Phase I. So pretty much fits my thing because we get to 13.5 million, 14 million tons with Phase II, Wuhan would be one of the off-takers.
Sal Tharani – Goldman Sachs & Co.: Okay, great. Thank you.
Lourenco Goncalves: You’re very welcome.
Operator: – question is from the line of Timna Tanners from Bank of America Merrill Lynch. Your line is open.
Timna Tanners – Bank of America Merrill Lynch: Yes, hello, good morning.
Lourenco Goncalves: Good morning, Timna.
Timna Tanners – Bank of America Merrill Lynch: Just a couple of things. So I wanted to ask about exit cost and the remediation or permanent closure cost when you think about Koolyanobbing but also if you don’t go ahead with Phase I. Can you just give us a little idea about what that might entail?
Lourenco Goncalves: Well, exit cost of Koolyanobbing are basically the numbers that are already built into OpEx because I’m just talking about ARO, asset retirement obligations, so there is nothing else for us to be concerned about. It’s all booked and it’s all being accounted for. So there is nothing to be concerned about in Australia. My $50 million CapEx, that’s it. And if you want to make a quick endorsed [ph] calculation, instead of saying six years, say five, and you’re talking an average of $10 million per year. And instead of talking about 11 million tons per year, let’s talk about 10 million tons just because I don’t have a calculator. So $10 million per year, 10 million tons is $1 per ton. I would love to see in your next reporting a comparison in CapEx between my Australia assets against BHP Rio Tinto, Fortescue and these guys. Maybe I deserve a better price than $4 per share, I don’t know.
Timna Tanners – Bank of America Merrill Lynch: Yes. So, no, that’s understandable. There’s no closure cost then on top of that then. I just want to clarify.
Lourenco Goncalves: Nothing, zero, nada.
Timna Tanners – Bank of America Merrill Lynch: Got you. Okay, perfect, excellent. And then if you could, would that also be not a consideration then, are you saying for Bloom Lake if you don’t go ahead with Phase II? Is that also something that we wouldn’t have to calculate in?
Lourenco Goncalves: Like I said about Bloom Lake, I’m now operating Phase I and Phase I is no man’s land. From Phase I, I’m going to Phase II with three new equity partners, sophisticated steel makers. They are doing a lot of homework, are being very active in understanding what they are stepping in. And all of them have long term relationships with me and some relationship with Cliffs, but long term relationship with Lourenco Goncalves. So they know that they are dealing with a partner that can do good on things that I promised. So they are doing their homework. But we have no decision yet. So bear with me. I know people are anxious to hear about Bloom Lake, but this is not like selling a house. I know that you guys, you sell houses very quickly. But here, it’s more complicated than selling a house.
Timna Tanners – Bank of America Merrill Lynch: Okay. I have another question on Bloom Lake but I’m going to hold off because it sounds like you’re telling us to stay tuned, so I’ll do that. And then I guess the only other question I had was, people keep asking about the status of the buyback that you announced. So I just wondered if you had any update on how you’re thinking about uses of cash.
Lourenco Goncalves: Look, the buyback, you should see the – well, first of all, the buyback is in place until December of 2015. So we have plenty of time to execute on the buyback. But you should keep in mind, Timna, that the buyback is a way to reward shareholders, not the only way to reward shareholders. And also, we need to do a lot of homework in this company before we start rewarding the shareholders. And I believe that the shareholder that put me here, the vast majority of the shareholders of Cliffs Natural Resources, they understand that and they will bear with me. And they will stay put and they will wait for the right time. But the buyback was put in place quickly because I had no idea what would happen with the stock price. Let’s assume that anxious people will drive my stock price to a very, very low number. I would use the buyback. Well, apparently, this situation of misunderstanding is behind us. It doesn’t mean that I would not use the buyback, I may use the buyback. But the buyback is kind of a loaded gun that I put in my side table at night. It doesn’t mean that I’m going to shoot and it doesn’t mean that I’m going to kill anybody. But the gun is there for my protection.
Timna Tanners – Bank of America Merrill Lynch: Okay, great. Thank you for your help.
Lourenco Goncalves: You’re very welcome.
Operator: Next question is from the line of Mitesh Thakkar from FBR. Your line is open.
Mitesh Thakkar – FBR Capital Markets & Co.: Good morning, guys. This is Mitesh from FBR actually. Just a quick question on the APIO segment. Lourenco, you mentioned that the reclamation liabilities and asset retirement obligations are all accounted for. But has the cash been paid out for it? If not, what is the cash impact?
Lourenco Goncalves: All these numbers are accounted for. This is a mine with a long life. It’s not like Bloom Lake that’s a new mine. So these numbers are not really relevant to the point that we would be so concerned about. But we are talking about something like $20 million, $25 million distributed in five years. So it’s not really relevant.
Mitesh Thakkar – FBR Capital Markets & Co.: Okay, great. And just a follow-up. Obviously very good job on the cost side on the coal and APIO side, can you give us some color, and I know you have mentioned this before that you have done a lot of homework on the ways to reduce cost in the U.S. Iron Ore side as well. Can you tell us what kind of magnitude are we looking at here and how should we think about normalized cost in that part of the business?
Lourenco Goncalves: You mean U.S. Iron Ore?
Mitesh Thakkar – FBR Capital Markets & Co.: Yes.
Lourenco Goncalves: Okay. U.S. Iron Ore, first of all, let’s qualify. In your model, do you use fines or you use pellets?
Mitesh Thakkar – FBR Capital Markets & Co.: I use pellets.
Lourenco Goncalves: Okay. So if we were talking pellets, we accomplished in this quarter $59 per ton. And I can’t emphasize that enough. This is the cost to produce pellets. So we have a cost here probably below $40 to produce fines before [indiscernible].
Mitesh Thakkar – FBR Capital Markets & Co.: Right.
Lourenco Goncalves: But anyways, so to stay with your costs to produce pellets of $59, we are going to continue to drive this cost down. We are going to go to a low $50 per ton to produce pellets in the next couple of years. How fast I will get there? I don’t know. We will see. We’re working.
Mitesh Thakkar – FBR Capital Markets & Co.: And I’m sure the energy component of the pellet production is also helping you a little bit there. Does that low $50s include that?
Lourenco Goncalves: Yes, absolutely, yes, yes, yes.
Mitesh Thakkar – FBR Capital Markets & Co.: Great.
Lourenco Goncalves: That’s the reason I started asking before including the cost to produce pellets or not. You said, yes, so I gave you my spend [ph], including the production of pellets.
Mitesh Thakkar – FBR Capital Markets & Co.: Great. And the maintenance CapEx, how should we think about the U.S. Iron Ore maintenance CapEx?
Lourenco Goncalves: We are continue to benchmark maintenance. We are continue to optimize preventive maintenance. Terry Fedor and I have been talking a lot about what we can do. At this point in time, if I had to pull that number in a model, plus [ph] $100 million.
Mitesh Thakkar – FBR Capital Markets & Co.: Okay. Thank you very much. I appreciate it and good luck.
Lourenco Goncalves: Yes. Thank you, Mitesh, appreciate your support.
Operator: The next question is from Evan Kurtz from Morgan Stanley. Your line is open.
Evan Kurtz – Morgan Stanley: Hey, good morning, guys.
Terry Paradie: Good morning.
Lourenco Goncalves: Good morning, Evan.
Evan Kurtz – Morgan Stanley: Yes, maybe just a couple of questions on U.S. Iron Ore. So first maybe just going back to the guidance you just gave on cost for that business, it seems like you’re splitting up cost into two categories now that we haven’t seen before – cash production cost and then non-production cash cost. Can you maybe explain what’s in those two buckets and why are we splitting those out? Is there a way to get those non-production cash costs down quicker or how do you think about that?
Lourenco Goncalves: Look, the reason why I’m splitting is because some of the research analysts, including yourself, Evan, believe that Essar Minnesota will come online. And you also believe that the cost will be $40 per ton. And they don’t have the impact of cost of goods sold because they haven’t started to produce yet. So the breakdown is basically cash production cost and a bucket of things in which the biggest thing is the impact of running the cost through the inventory. And then we have all kinds of impact. It could be low cost to market and stuff like that. So in order to compare apples with apples, I need to really separate that. That is the other important thing in that parcel that I understood that cash production cost would be royalties which we have full control and full knowledge about the number. But these things are not being compared when people talk about the potential entrants in there. So the main reason why I am opening the cost a little more is basically to try to give you guys some type of indication to compare comparables. Because the other project that was advertised as being a $40 per ton cash cost, Bloom Lake. Go back two, three, four, five years ago, we want to see Bloom Lake being advertised as a $40 per ton cash cost. So people can talk whatever they want. Everybody that has a mouth seems to talk. But the fact of the matter is that U.S. Iron Ore has been there for a long, long, long time. The Essar Minnesota that may or may not come online is just an extension of our Hibbing mine. We know their iron body, we know how to explore oil in the area, we have a very good mature relationship with the union, so we don’t believe that they can get any benefit in mining or in labor cost. We have a very good relationship with the railroad, BNSF. They are doing a phenomenal job for us, especially now that I’m here at Cliffs dealing with the EVPs that fixed my problem with BNSF at California Steel. And that was 14 years ago and we are back again working together. So they are not going to get any advantage as far as railroad. So where in hell are they going to be better than Cliffs, a company that has been in business for 167 years in that specific area? We command more respect. We are very competent and we need to put numbers for you guys to compare comparables. And that’s what I’m doing.
Evan Kurtz – Morgan Stanley: Okay. I mean, I guess just to clarify, one of the main reasons I actually asked was when you talk about maybe getting cost down to the low $50s in the U.S., you’re talking about these cash production costs, not the total cash cost?
Lourenco Goncalves: Well, if we don’t have fluctuations in price, if we don’t have LCM and we are just talking about royalties, then we are basically talking about the same number.
Evan Kurtz – Morgan Stanley: Okay.
Lourenco Goncalves: Did you follow my logic?
Evan Kurtz – Morgan Stanley: Yes, I got you, that there’s a lot of inventory accounting, the other [ph] number that could smooth out at the time.
Lourenco Goncalves: Yes. Evan, and when you have the comparables you start to produce, they will also have inventories, they will also have to calculate costs through the cost of goods sold. So then I may stop give you the two figures, but for the time being, I’m going to insist to give you the two figures. You pick the one you want. If you are long, you pick the low cost. If you are short, you pick the high end and then you use in your report whatever you want.
Evan Kurtz – Morgan Stanley: I was really trying to get a sense of whether you’re talking about a $5 decrease or something more. But anyway, maybe moving on to pricing in the segment. The last management team always kind of talked about having about 40% of their contracts tied to a seaborne linked rate and we kind of hear from some of your customers that they’re on a one-quarter one-month lag, so I’m just kind of curious about how we should think about first quarter cost as we roll into next year because some of those one-quarter one-month lags will start to roll in I assume. Are they hitting floors, maybe how many of that 40% is actually floored? And then the other factor is the Essar contract, that I think leaves switches from fixed price to floating in the first quarter of next year as well. So how do we kind of think about that as we model going forward?
Lourenco Goncalves: Yes, right now, it’s all in floors. So the long term clients of Cliffs, they are protected. Cliffs is protected as well. We are very pleased that we were able to attract a new client for Cliffs. We are starting to deliver iron ore to Arcelor Mittal Dofasco and that is allowing us to be able to sell 100% here instead of exporting a million tons seaborne, I’m very pleased with that. And so I’m not very concerned about the Essar Algoma contract at this point because at the end of the day the 3.3 million tons that I supply to Essar Algoma at this point, I may need for somebody else. And then they will need to count on Essar Minnesota, and if Essar Minnesota doesn’t come, unless they find a replacement for iron ore, I think that Essar Algoma may be in trouble. So, what about that? So there’s a lot going on in this special thing. So I’m not going to discuss any details on commercial contracts.
Evan Kurtz – Morgan Stanley: Okay, great. Thanks for answering my questions.
Lourenco Goncalves: Thank you, Evan.
Operator: The next question is from the line of Stan Dubinsky from Wells Fargo. Your line is open.
Stan Dubinsky – Wells Fargo: Great, thanks. Thanks for taking my question. Just in the Q3 looks like pricing was pretty good in the U.S., better than I thought based from the [indiscernible]. Was there any higher price carry returning from the first half, just because I know there were some supply disruptions that pushed H1 into Q3 a little bit. Then I have a couple of follow-ups.
Lourenco Goncalves: Stan, I appreciate you saying thank you for taking your question, but I’m not going to answer your question because you already know everything about my company. You have a $4 price target and you think that we can’t sell assets, so I’m going to take the next question, I’m not going to answer you. Next question, operator, please.
Operator: The next question is from the line of Nathan Littlewood from Credit Suisse. Your line is open.
Nathan Littlewood – Credit Suisse: Good morning guys. Thanks for the opportunity. Apologies in advance, I’ve missed some of – this is a – there’s lot going on this morning. But, Lourenco, you talked a lot about the U.S. on ore pricing and there’s clearly a lot of moving pots to that equation over the next little while. I’m just wondering if you might be kind enough to provide an estimate of where we could expect U.S. IO average selling price to be next year if we were to see a scenario where the current spot prices were maintained at, you know, circa $80 a ton for the full year. That’s one part. The other part, if we could, you mentioned that you’re expecting to get U.S. IO cash cost down to the low 50s over the next few years, which sounds like a great outcome. Again, could we go into that in a little bit more detail? And would you be able to perhaps provide a bit of a profile over what that might look like over the next few years?
Lourenco Goncalves: Sure, Nathan. Thank you very much for your questions. I’m going to reply the cash cost you asked around ore part and then I will [indiscernible] to reply the pricing part of your question. As far as the cash cost of U.S. around ore, we are extremely excited what’s going on at the mines. I have been through the iron ore mines a lot and on Thursday I’ll be having again. Terry Fedor, the EVP U.S. Iron Ore, and I, we’re working hand on hand with the general managers, with the plant managers, with the mine superintendents. And we are working hard to cut the fat, working hard to trim the stuff that we don’t need, working hard to make the NSF and the CN quarters (ph) to work in our favor, not having to spend extra money to put pellets on the ground and then bring the trains and move the pellets out of the ground. So we are working on – it’s like blocking and tackling every day. And because we have a very good operation, because we have a very committed workforce from the steel workers, we’re working hand on hand with the – together with management, the local management at the mines. We are very, very confident that we will continue to provide high quality products tailor-made to each blast furnaces in the United States. And we will, in a couple of years, be talking about $50, $51, $52 dollars max to produce pellets in the United States. And with that, I will pass to Terry Paradie to explain about the sensitivity of pricing.
Terry Paradie: Yes, Nathan. You know what, we’ll some new guidance out from the sensitivities when we issue fourth quarter results. But the way I way I would look at it is, kind of, you can take the sensitivities that we provided for last year on a full year basis instead of substituting the $2 to $3 sensitivity for U.S. IO. For every plus or minus $10 I would use $4 to $5 as the new sensitivity as we’ll see more contracts next year flipping into link pricing to the Platts price. And you can be able to do the math on that and get back to unexpected realization range for 2015 for U.S. IO.
Nathan Littlewood – Credit Suisse: Sure, that’s certainly helpful on the sensitivity, but I guess what we’re still missing with this puzzle is the starting point. I don’t imagine given the reset of the Essar Algoma contract that the starting point here is going to be quite as favorable as it has been for you this year. So is that starting point something you could help us with as well?
Terry Paradie: I would go with your starting point. Last year, in Q4, we had 128 (ph), you back out, you pop in any number you want and they are $80 for the full year. You can do the math and I think you’ll get into the range even with that sensitivity. And then we will update that forecast in out Q4 results as we always do.
Nathan Littlewood – Credit Suisse: Okay, thank you very much.
Lourenco Goncalves: Nathan, one more thing. We are working here with everything that we’re forecasting in a very, very bearish situation that I don’t even believe that will, materialize. Because, as I tried to explain during my call, one point that I believe that is being missed in this entire pricing thing for iron ore is that the majors – BHB, Real Tinto, Vale – they, in order to do what they are saying that they are going to do, they need massive amount of CapEx. And that needs to come from the cash generation. So I believe that this price situation may even get worse a little bit in the short term, but we will improve midterm to long-term. This being said, I’m playing the game here. I’m playing defense here. And all my expectations are very, very low. Despite all – when we forecast, despite all that, we are in good shape.
Nathan Littlewood – Credit Suisse: Okay, cool. Thanks guys.
Lourenco Goncalves: Thank you.
Operator: The next question is from the line of Brian Yu from Citi. Your line is open.
Brian Yu – Citi: Great. Thanks and good morning. Hey, Lourenco, first question, on U.S. IO, I think you said – sorry, Australia IO, you said that you would build to bring cost down to $48, which is really good. I was wondering just on the product quality. So would that be the same as what we’re seeing right now in terms of FE grades? Just comparable numbers?
Lourenco Goncalves: Yes, sir. Brian, AP IO next year will be down to $48 and in Australia we have a much more impact of the known production component, so the $48 is actually $49 all-in cash cost next year in Australia. And this will be for the same mix that we have today or actually a little bit improvement because next year we’re going to have 53% lump in the mix. Our lump has 62% iron content, our fines are 59.5% iron content. And the most important thing is that we are going to start pushing lump premiums up, because among all Australia our AP IO mine is the one that has the highest lump in the mix. One of the Australia has 30%, the other big Australia has 23% percent lump in the mix, and the last one, the one that just came on board has 0% lump in the mix. So we are both 50% lump in the mix. In lump, we will become – it has already started that we will become a real, real expensive commodity in China as they start to realize that when they knock down their sinter production, pollution goes down, and lump is the best remedy for pollution from sinter plants.
Brian Yu – Citi: Okay. And then second, just to follow-up on cost for the U.S. iron ore business, which, as you know, is very important. And you said in the low 50s cash cost next couple of years, would you build a – can shorten that time frame for us and just in terms of 2015, what happened proven you’re expecting next year?
Lourenco Goncalves: 55.
Brian Yu – Citi: Still 55 is the cost structure for next year?
Lourenco Goncalves: Yes, sir.
Brian Yu – Citi: All right. Okay, great. Thank you.
Lourenco Goncalves: You’re welcome.
Operator: The next question is from the line of Garret Nelson from BB&T Capital Markets. Your line is open.
Garrett Nelson – BB&T Capital Markets: Hi. Good morning.
Lourenco Goncalves: Good morning Garret.
Garrett Nelson – BB&T Capital Market: On Asia Pacific iron ore, obviously you have a reserve to production ratio of less than six years and the pricing is linked to the seaborne price, but could you help us understand in addition to the lump mix and low CapEx which you talked about, is there some other strategic value associated with those assets from your perspective whether it is your access to the port there or other things we should be taking account – into account when thinking about the value of that segment in a potential sale?
Lourenco Goncalves: Absolutely. That’s actually the reason why we haven’t sold Asia Pacific yet. We’ve got a lot of interest, unsolicited interest for the asset, but from the one buyers because a wide – I say the one buyers. Because the one buyers [ph] don’t value the things that we have just described. We have a long-term contract with the Port of Esperance. The Port of Esperance is a port that can accommodate Cape size vessels. So the freight to China is no different from the freight coming from Port Hedland. The difference would be $2, $3 per ton and no more than that. So we are very comparable with the ones operating out the [indiscernible] region as far as freight. We have a long-term contract with the railroad. We have a very good long-term relationship with the railroad operator, Lance Hockridge used to be – looked like how this world is small. He used to be the EVP, his labs for [ph] [indiscernible] California still. He runs the railroad in Australia right now. He’s a long-time friend of mine. So we have excellent infrastructure situation in Australia right now. For a minor in Australia, that will be great. That would give them the ability to survive against the retreat. But it takes two to dance. So if they don’t come to dance, I will continue to operate for six years and we’re out in Australia in no time. The biggest disadvantage of being in Australia is the same disadvantage that the big three have. They have very, very, very high cost of manpower over there. So we’re cutting cost, knocking down stock that you don’t even imagine. Like for example, we don’t have security guards anymore. We are in the middle of nowhere. We have guards to protect against whom? Nobody, so no more security guards. So we are cutting subcontractors, we are thinking out of the box. We are knocking cost out of the picture as if there is no tomorrow. And we will continue to operate very well taking care of maintenance, taking care of our environmental liabilities. We are now creating [indiscernible] for the authorities in Australia, but we have no long-term commitment to be there. That’s pretty much the story.
Garrett Nelson – BB&T Capital Market: Okay, thanks. That’s helpful detail. And then I want to ask about the dividend. Of course the company had some new board members. As Chairman, could you tell us, what does the Board stands toward the quarterly common stock dividend, $0.60 a share. Obviously that’s a very attractive yield, but that also requires about $92 million of year of cash to pay out. Does it make sense to continue to pay that or instead conserve that cash, maybe pay down debt even further into our – for Bloom Lake Phase II?
Lourenco Goncalves: Well we just paid a $100 million of debt in Q3 and Q3 was not exactly a very easy quarter to navigate. We still paid down debt $100 million. So our dividend is built in to my projections, though I am the Chairman of the Board, I can’t speak for the Board before the Board makes a decision. But I will tell you upfront, I’m going to propose in our Board call to keep the dividend and I believe that the Board will approve keeping the dividend at $0.50 per share. That’s my idea. It’s completely built into my financial forecast and we’re comfortable. We don’t have a problem with that.
Garrett Nelson – BB&T Capital Market: Okay. Thanks a lot, Lourenco and good luck.
Lourenco Goncalves: Thank you very much.
Operator: Your next question is from the line of Lucas Pipes from Brean Capital. Your line is open.
Brad Hafenmaier – Brean Capital LLC: Hey, good morning. This is actually Brad Hafenmaier [ph] on right now for Lucas Pipes. I just wanted to ask Lourenco what is the biggest surprise been since you joined Cliffs?
Lourenco Goncalves: I’m sorry, say that again?
Brad Hafenmaier – Brean Capital LLC: Sorry about that. I’m just asking this morning, what have you found to be your biggest surprise since joining Cliffs?
Lourenco Goncalves: That you wrote – not you, Lucas Pipes wrote in the report of Brean Capital that we only cut APIO cost of just $5 per ton. So I cut cost 10% and you write in the report it that was just $5. It’s very insulting. That was the biggest surprise I had.
Brad Hafenmaier – Brean Capital LLC: Okay, well. Thank you very much.
Lourenco Goncalves: You’re very welcome.
Operator: Your next question is from the line of Phil Gibbs from KeyBanc Capital Market. Your line is open.
Phil Gibbs – KeyBanc Capital: Good morning, Lourenco.
Lourenco Goncalves: Good morning.
Phil Gibbs – KeyBanc Capital: I had a question on the cash cost for 2015 for USIO. Did you say that it should be around the range of $55 a ton and is that number compare to the 65 you did or the 59 you just did? I’m just trying to parse out the cash production cost and the total cash cost.
Lourenco Goncalves: Yes. So when I said the $55, I was referring the cash production cost, the one that’s now 59, okay?
Phil Gibbs – KeyBanc Capital: Okay. Thanks for that clarification. And then as far as the fourth quarter, what should we assume for Wabush closure costs, I would say including sales margin and maybe the oil cost and then what should we be looking for as far as the networking capital source of funds in 4Q, for the entire – for the entire business?
Lourenco Goncalves: I want Terry Paradie to answer that. Terry?
Terry Paradie: Yes. From a Wabush standpoint, we’ll continue to refine those cost down. We’ll still have some continued cost for closure wrapping that up. As we mentioned, we’ll be closing that operations up. Sales margins, there’re very little tons left to sell, so I think the sales margin impact will be pretty minimal, so you’ll see that tail off. As from a working capital standpoint, as you know, the first half of the year was, obviously the biggest use the of our capital in the back half of the year, third quarter starts, but also the fourth quarter we will take down our inventory levels and you’ll see that come through as cash in the fourth quarter and essentially in line with what we’ve done in the past.
Phil Gibbs – KeyBanc Capital: Okay. So the Wabush cost, will those be done by the end of the year or will they be –
Terry Paradie: Yes.
Phil Gibbs – KeyBanc Capital: Okay.
Terry Paradie: Those will be done.
Phil Gibbs – KeyBanc Capital: And then you said for next year, your maintenance CapEx is about $100 million overall for the entire business?
Terry Paradie: The maintenance CapEx for the whole year is probably in the same range with what we did to this year, 275 [indiscernible].
Phil Gibbs – KeyBanc Capital: Oh excuse me. I don’t know where I got the $100 million from.
Terry Paradie: The USIO business was the $100 million for maintenance cap that Lourenco mentioned earlier.
Phil Gibbs – KeyBanc Capital: Okay. Thanks very much.
Terry Paradie: Yes.
Lourenco Goncalves: You’re very welcome.
Operator: Your next question is from the line of Paul Massoud from Stifel. Your line is open.
Paul Massoud – Stifel Nicolaus & Co.: Good morning and thanks for taking my question.
Lourenco Goncalves: Good morning. My pleasure, please.
Paul Massoud – Stifel Nicolaus & Co.: I wanted to ask a little bit about the coal business, I mean you mentioned that one of the first things that you did was restart Pinnacle or make sure that it didn’t shut down and after the previous measurements, [indiscernible] that they wanted to shut it down. And obviously, when you look at the production numbers, they look very good. We’ve seen some other US low vol, met coal operators in low-priced environments they’re trying to save the asset and so they’ll take some of those – that production offline, but clearly you guys are doing a lot to absorb some of the fixed costs. So I’m wondering in making that decision was there an assumption that pricing could potentially rebound from here and that today’s pricing environment was temporary? Or do you see this mine continuing to run at anywhere from 600,000 to 800,000 tons a quarter in the current price environment in the perpetuity?
Lourenco Goncalves: Look, I believe that Pinnacle is one of the best low vol, met coal mines in the world. They are extremely competent. Our people there work extremely hard. The product that we produce there is low ash, low moisture. We are supplier of tier one blast furnaces. So we have a history over there and we were able to – by doing what we did – and by the way, don’t blame the management team. The EVP running the coal business, Dave Webb and Larry at [indiscernible] and Mark at Pinnacle and John and all the guys there in Logan County, they are the same guys that were here before. That decision was not made by the management team. That decision was made by the Board that is gone. And I just had the merit of listening to the operators and I did that in my first day here. And we kept Pinnacle open and with that, we saved a lot of money, we were able to finish Q3 with a positive EBITDA, it’s a small positive, but it’s better than a small negative, much better than a big negative. And we’ll be closing with a big negative if we have kept the Pinnacle idle. We’ve got more than 300,000 tons of new order just for 2014, just for Pinnacle because we kept the mine open. So in talking about pricing, that – we will start to your question talking about pricing, take a look on the last three quarters, the reference price is basically flat, 120, 119, 119. So it’s very possible that based on what you have just said that other mines are shutting down that we may have some type of reaction in the coal price. If not, we have stayed in power. We are going to continue to drive prices down. We are going to continue to honker down some quarters we may have as light negative, so much as we may have as light positive and in the meantime, we may get a buyer. It’s not core, so it’s for sale. We all know that.
Paul Massoud – Stifel Nicolaus & Co.: I appreciate the color. Thanks.
Lourenco Goncalves: You’re very welcome.
Operator: Thank you. And we have reached the end of today’s question-and-session session. I’ll now turn the call back over to Mr. Lourenco Goncalves for closing remarks.
Lourenco Goncalves: Thank you very much for joining the call. This is just my first call here at Cliffs and in a little more than one week, I will complete my first three months on the job. I’m giving myself an A plus in my mind today plan and we plan to continue to work very hard to re-award the long-term shareholders. I wish you all a great quarter and we’ll talk again soon. All the best. Bye now.
Operator: This concludes today’s conference call. You may now disconnect.